Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:02 Good morning, ladies and gentlemen, and welcome to the TMX Group Limited Q3, twenty twenty one Financial Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, November ninth, twenty twenty one. 00:29 And I would like to turn the conference over to Paul Malcolmson. Please go ahead.
Paul Malcolmson: 00:35 Thank you, operator, and good morning, everyone. I hope that you and all of your families are staying well and safe. Thank you for joining us this morning for the third quarter twenty twenty one conference call for TMX Group. As you know, we announced our results late yesterday and a copy of our press release is available on tmx.com under Investor Relations. 00:55 This morning we have with us, John McKenzie, our Chief Executive Officer; and David Arnold, our Chief Financial Officer. Following opening remarks, we will have a question-and-answer session. 01:06 Before we start, I want to remind you that certain statements made on today's call may be considered forward-looking. I refer you to the risk factors contained in our press release and reports that we have filed with regulatory authorities. 01:18 With that, I'd like to turn the call over to John.
John McKenzie: 01:22 Well, thank you, Paul, and thank you, everyone for dialing in today to discuss TMX Group's financial performance for the third quarter and the first nine months of twenty twenty one. And first, on behalf of all of us at TMX, I do want to wish the very best of health to everyone listening this morning. I'm happy to report today that I'm actually transmitting to you from the TMX headquarters here in Toronto, and that the transition to back to office for TMX employees is underway here in Ontario and in our offices across the country and around the world. In fact, our Trayport office in London has served as our pilot project as they've been now back in the office for some time. 01:57 And while our return to the offices is voluntary and many of our employees continue to work from home during this early stage, it is very encouraging to finally reached a point where we can safely resume a work from office life. And personally, I am grateful for the opportunity to interact with some of our people within the TMX environment, walk our halls and offices once again and get those face to face interactions. 02:19 We also have a brand new space to explore here as well. The TMX Market Center at one hundred and twenty, Adelaide Street Western Toronto. It's our state-of-the-art event destination and broadcast facility, and it stands as a prominent new Toronto business landmark and a fresh distinctive presence at the core of the city's financial district ready to be discovered. 02:38 Two weeks ago, we held our first-in-person market open ceremony in the new TMX Market Center welcoming Q4, Inc. to Toronto Stock Exchange. And our market open ceremony is a proud long-standing tradition, the ability for us now do that safely and host for our clients of the exchange to celebrate important milestones in their company's history and to kick off a new trading day is a clear sign of a progress and return to normal. 03:04 Now, as Paul mentioned, we announced results for the third quarter and the first nine months of twenty twenty one last night. And David will walk you through the third quarter numbers in a few moments in more detail, but I'm going to focus my comments this morning on providing context, as we reflect on the year-to-date through September thirty, specifically TMX's performance for the first nine months of twenty twenty one. 03:25 Secondly, some key accomplishments and significant progress we have made in executing our long-term growth strategy, as we strive to continue to make our markets better. And also importantly, now the shifting market dynamics over the past few years have served to reshape our client offerings in meaningful ways, while also helping to inform our perspective, as we move through the last weeks of the year and beyond. 03:48 Now turning now to our results for the first nine months of the year. Revenue was seven hundred and twenty eight million dollars, an increase of thirteen percent from the first nine months of twenty twenty and diluted earnings per share grew twenty one percent or twenty percent on an adjusted basis compared with the same period in twenty twenty and continuing the pace of our strongest year on record. TMX's positive performance for the first nine months reflects significant contributions from across our diverse franchise, including capital formation, derivatives trading and clearing and Trayport. 04:22 Our total operating expenses increased five percent from the first nine months of twenty twenty, largely due to the inclusion of the expenses related to AST Canada, including transaction and integration costs. The increase in expenses also reflects higher headcount and payroll costs, higher costs related to our short-term employee incentive plan and increased severance, as compared to year ago. 04:43 Now turning to our business areas. Revenue for Capital Formation was one hundred and ninety point five million dollars, an increase of thirty eight percent from the first nine months of twenty twenty, largely driven by an increase in the number of issuer financings and financing dollars raised on Toronto Stock Exchange and TSX Venture Exchange and higher initial listing fees. Our issuers raised a combined total of forty three point three billion dollars, a fifty percent increase over the first nine months of last year and more than the total raised during the entirety of twenty twenty. 05:15 Our largest sectors, technology and mining continue to lead the way in terms of financing dollars. Technology issuers raised more than eleven point four billion dollars in the first nine months, an eighty six percent increase over the same period last year and forty two percent higher than the full year record set just last year as well. Companies in the mining sector raised almost eight billion dollars, a forty five percent increase year-over-year. 05:40 And TMX's unique two-tiered ecosystem continues to serve as an effective proving ground for businesses in all sectors to pursue the next steps in their growth trajectory. TSX Venture graduated twenty seven companies to Toronto Stock Exchange through September thirty more than any full year since twenty eleven. The graduated companies represent a broad range of industries including technology, cleantech, consumer products and services, mining and life sciences. 06:07 And despite a normal slower pace during the summer months, overall twenty twenty one has been a very robust year for IPOs. We welcomed thirty eight corporate IPOs to Toronto Stock Exchange and TSX Venture Exchange in the first nine months of the year, more than any full year since twenty twelve. 06:25 And over the past few weeks we've seen activity pick up significantly particularly in tech IPOs, with Copperleaf, [D2L] (ph), Propel Holdings and Q4, all launching since the end of September. In total, we've had three hundred and nine new listings year-to-date excluding those graduates through September thirty, a forty four percent increase from last year. 06:48 And as we pause to examine the impact of market conditions and short-term trends on IPOs financing and levels of overall going public activity in our business, it's always important to consider the effects these developments have on the complexion of our markets over the long term. The rise of the innovation economy in this country over the past decade has helped to change the face of our equity markets and redefine what an investment in Canada means. 07:12 The influx of great companies and visionary entrepreneurs builds our ecosystem stronger, growing and diversifying our stock list to the benefit of investors here in Canada and all around the world. And global investors are increasingly turning into our story and seeking exposure in these Canadian markets. 07:30 According to the latest datas from Stats Can through August net inflows into Canada equities were twenty eight billion dollars on pace to reach the highest levels since twenty seventeen. And today, Canada presents a powerful globally competitive value proposition, and we need to continuously strive to create the conditions for that enduring success. To support the businesses at the foundation of this vital ecosystem to ensure that today's wins are indicative of a long-term sustainable trend and not just an anomaly. 08:01 Now, turning now to Derivatives. Revenue from trading and clearing was one hundred and four point three million dollars, up nine percent from the first nine months of twenty twenty, including an eleven percent increase in revenue from the Montreal Exchange and CDCC. MX's total volumes increased twenty four percent compared to the same period of last year and the revenue growth, while somewhat offset by lower revenue per contract due to a change in product mix and incentives designed to build long-term sustainable liquidity. 08:31 Performance over the first nine months, included strength in some of MX's signature products, as well as developing growth areas. Average daily volume in the BACs contract, Canada's benchmark short-term interest rate futures product was up twelve percent in the first nine months compared to last year, following the recent resurgence in global demand to deploy and manage risk. 08:52 Single share futures continue to gain significant traction with domestic and international clients, with sixty five percent growth in average daily volumes compared to the first nine months of twenty twenty. And equity options were up thirty four percent year-to-date compared to the same period last year, with energy sector names spruing increased interest and activity for both institutional and retail traders. 09:17 Across the board, overall open interest was up forty six percent at September thirty, twenty twenty one from last year, a strong indication of volumes to come. And the month of September almost -- also marked another important milestone achievement in Montreal Exchanges proud history of innovation and the next phase of our globalization strategy, the successful launch of trading on Asia-Pacific hours. Extended trading hours syncs us to the world's premier financial centers, enabling sophisticated modern investors in all time zones to trade Canada, to execute cross market trading strategies and manage exposure on their time. 09:55 Running our derivatives markets for twenty plus hours a day is no small feat. And the extended hours Asia-Pacific initiative is the culmination of a ton of hard work by our teams in partnership with our stakeholders, including clients, as well as regulators and government officials here in Canada, Hong Kong and elsewhere in Asia. 10:16 And the weeks and months that led up to this launch, we've seen strong engagement for investors and participants in the region. And while we are very much still in the early days, the initial response to the launch has been very positive with average volumes over six thousand contracts during the new session. Now combined Mx's European and Asian-Pacific extended hours accounted for approximately six percent of total volumes during the first nine months of twenty twenty one. 10:43 Now moving on to Trayport. We are pleased to report double digit growth with revenue of one hundred and eleven point seven million dollars, a ten percent increase compared to the first nine months of twenty twenty. Growth was driven by a seven percent increase in the average number of subscribers and also included one point three million dollars of revenue from Tradesignal. Acquired in June, Tradesignal provides advanced analytics and charging capabilities to our clients. 11:10 And as the world emerges from pandemic conditions and economic recovery gains momentum, global energy markets are clearly in a state of flux. Gas supply shortages have driven a dramatic surge in energy prices across Europe and around the world and Trayport's product suite is tailored to meet the data and analytic needs of traders, portfolio managers, and analysts is as vital as ever, providing opportunities for clients with analytics and insights to make informed decisions and to pursue their short and long-term strategies. 11:41 Now, in closing my comment, as we move to the final weeks of twenty twenty one, I want to thank our teams across TMX and in every facet of our business for continuing to deliver for our clients through this busy and challenging year. Our people have demonstrated time and again their commitment to serving clients across our businesses throughout the market ecosystem and around the world with excellence. And along with the stress tested ability to adapt to whatever the market throws our way, while continuing to push us forward. And with that we are so excited to add a new group of high performing professionals to our ranks. 12:15 In August, we completed the acquisition of AST Canada, a leading provider of transfer agency, corporate trust and related services, and our integration is fully underway. This acquisition represents an exciting addition to our TSX Trust offering and our capital formation business more broadly, broadening out the range of services and solutions that we provide to listed issuers. 12:39 Also on the people front, I'm delighted to share news that we have named Michelle Tran, the new President of TMX Datalinx's effective November first, a well-respected TMX veteran, who I had the privilege of working with for the past twenty years who is highly regarded by our colleagues and across our client community. Michelle's mandate is to lead the growth, market development and commercialization of TMX's data solutions. Her ongoing focus will be on client centric innovation to lead the strategic direction of the business, including the pursuit of additional revenue opportunities resulting from new client offerings potential partnerships and expanding global sales. 13:16 And with that, let me turn the call over to David.
David Arnold: 13:19 Thank you, John, and good morning everyone. I too, I am coming to you from our offices in Toronto after working remotely since joining TMX in June this year. 13:30 Let's turn now to our financial results. Q3 was another strong quarter with eleven percent revenue growth and eleven percent diluted earnings per share growth. There were revenue increases from capital formation, derivatives trading and clearing, global solutions, insights and analytics or GSIA as we refer to it internally and CDS, partially offset by lower equities and fixed income trading revenue. 13:59 Operating expenses increased fourteen percent over Q3 twenty twenty, mainly driven by cost related to our acquisition of AST Canada, which was acquired on August twelve of this year, as well as an increased investment in various growth areas of our business. 14:19 Organic revenue growth was nine percent this quarter and operating expenses, excluding AST Canada were up eight percent, diluted earnings per share grew eleven percent and adjusted diluted earnings per share grew by twelve percent in the quarter reflecting the higher revenue, partially offset by higher expenses, reflecting increased investment in growth areas of our business. In Q3 last year, it was a one point three million dollars reduction in our commodity tax provision or zero point zero two dollars per basic and diluted share. 14:54 In Q3 of this year, there were integration costs related to AST Canada of six hundred thousand dollars or zero point zero one dollar per basic and diluted share. In addition, there were higher net finance costs and higher income tax expense, partially offset by an increase in our share of net income from the Boston Options Exchange in Q3 of this year compared with Q3 of last year. 15:20 Turning now to revenue. Revenue and capital formation grew by twenty percent in Q3, including approximately five point one million dollars of revenue related to our recently acquired AST Canada business. Revenue growth in capital formation, excluding AST Canada was ten percent, primarily driven by higher initial listing fees this quarter compared with Q3 of last year. 15:47 Sustaining listing fees also increased in the third quarter, reflecting an increase in the market capitalization of issuers at December thirty one twenty twenty as well as an increase in new listings in the first nine months of this year. These increases were partially offset by lower additional fee revenue on TSX and TSX Venture relating to decreases in both the total number of financings and the total financing dollars raised. The decrease on TSX reflected a sixteen percent decrease in the number of transactions billed at the maximum listing fee of two hundred and fifty thousand partially offset by a five percent increase in the number of transactions billed below the maximum fee when compared to Q3 of last year. 16:37 Derivatives trading and clearing revenue grew by thirty two percent from Q3 last year to Q3 of this year. And as John just mentioned in his remarks, while volumes on MX increased by sixty two percent compared to last year, it was lower revenue per contract, reflecting both a change in client and product mix. This quarter there was an increase in high volume traders, which resulted in lower revenue per contract. 17:05 In addition, the volume increase was partially driven by contracts with lower yields, including share futures, which made up fifteen percent of total volumes this quarter compared with seven percent in Q3 last year. 17:21 Revenue in our Global Solutions, Insights and Analytics segment was up seven percent over Q3 last year, with increases from both Trayport and our traditional data business. Revenue from Trayport was up eleven percent in Canadian dollars or twelve percent in pound sterling. The increase was driven by eight percent growth in total subscribers in Q3 compared with Q3 of last year. 17:48 Revenue in our traditional data business grew by four percent driven by increases in professional and nonprofessional subscribers, usage base quotes, colocation, benchmarks and indices. The average number of professional market data subscriptions for TSX and TSX Venture products grew by six percent this quarter compared with last year and the Montreal Exchange subscriptions were also up by six percent. The higher revenue was partially offset by an unfavorable impact of approximately one point one million dollars from a stronger Canadian dollar relative to the U.S. dollar over Q3 of last year. 18:29 Revenue from CDS was up ten percent this quarter, reflecting high depository, event management, international, as well as clearing and settlement revenue compared with Q3 of last year. The increases in revenue were partially offset by higher client rebates. The revenue increases were partially offset by equities and fixed income trading revenue, which decreased nine percent compared with Q3 of last year. This decrease was driven by an eighteen percent decline in the overall volumes of securities traded on our equities market -- on our equities marketplaces. 19:06 Trading volumes on TSX Securities decreased by thirteen percent in the quarter, while volumes on TSX Venture and TSX Alpha decreased by thirty percent and three percent respectively. There was also a decrease in fixed income trading revenue, reflecting lower activity and swaps and government of Canada bonds this quarter. These decreases were partially offset by higher yields on all our equity marketplaces compared with Q3 of last year. 19:35 Turning now to our expenses. Operating expenses this quarter increased by fourteen percent compared to Q3 of last year. There were approximately seven point five million dollars of expenses in Q3 relating to AST Canada, including one point one million dollars of acquisition and related costs, seven hundred thousand dollars related to the transitional services agreement with AST and six hundred thousand dollars relating to integration costs and five hundred thousand dollars related to amortization of acquired intangibles. Operating expenses excluding AST Canada increased by eight percent this quarter compared with Q3 of last year. 20:18 The higher expenses reflected higher headcount and payroll costs, increased short term employee incentive plan costs, higher legal fees, as well as increased bad debt expenses and recoverable expenses. There was also a one point three million dollars reduction in commodity tax provision, in Q3 of last year. These increases in costs were partially offset by acquisition and related costs related to AST Canada announced in Q3 of last year for one point four million dollars. 20:49 Sequentially, revenue increased thirteen point seven million dollars or six percent from Q2 to Q3 of this year, primarily attributable to lower revenue and capital formation, equities and fixed income trading and clearing, derivatives trading and clearing, partially offset by higher revenue from global solutions insights and analytics. Operating expenses sequentially increased nine point eight million dollars or nine percent from Q2 reflecting higher short term employee incentive performance plan cost of two point five million dollars, higher long term incentive plan costs of one point seven million dollars and increased headcount and payroll costs of one point three million dollars. There was also approximately seven point five million dollars of expenses included relating to AST Canada, as mentioned earlier. These increases in operating expenses were partially offset by lower director fees, decreased severance and bad debt expenses from last quarter to this quarter. 21:47 There was also a one point eight million dollars decrease in expenses, largely relating to a release of a provision for restoration cost of our data center, which we spoke about in Q2 of this year. 22:00 Commenting on our balance sheet this quarter, we spent eighteen point three million dollars repurchasing one hundred and forty thousand common shares under our normal course issuer bid program. Our debt to adjusted EBITDA ratio was one point eight times at the end of the quarter, and we also held almost three thirty eight million dollars in cash and marketable securities at the end of the quarter, which is about one hundred and seventy three million dollars in excess of one hundred and sixty five million dollars with target to retain for regulatory and credit facility purposes. 22:33 In early October, DDRS Morningstar, our credit rating agency reiterated a single A high rating on our debentures or one low rating on our commercial paper. And most notably, changed our trend from stable to positive. Yesterday, our board approved a quarterly dividend of zero point seven seven dollars per common share payable on December tenth to shareholders of record as of November twenty six. At forty nine percent of our adjusted earnings per share, this is at the high end of our target payout ratio of forty percent to fifty percent. 23:09 And now, I'd like to take the chance to turn the call back to Paul.
Paul Malcolmson: 23:14 Thanks, David. Operator, could you please outline the process for the question-and-answer session.
Operator: 23:19 Thank you, sir. [Operator Instructions] First question from Nik Priebe at CIBC Capital Markets. Please go ahead.
Nik Priebe: 23:52 Okay. Thanks. I just have a pair of questions this morning related to the derivatives business. I think as you had point out, there are some forthcoming changes to the ownership structure of the Boston Options Exchange that is going to trigger consolidation of that business for financial reporting purposes. I was wondering if you could just explain what's happening with the ownership of that business, with respect to what prompted the change and just whether there are any implications other than the accounting treatment for that investment?
David Arnold: 24:25 Hi, Nik, it's David Arnold. Good morning. So, I'll try and summarize it as best as I can Nik. This is all public in our SEC filing, which is pending approval. So while this is pending approval, I'm going to basically talk you through it as though it is approved. If you think about it, what the document basically explains two of the existing shareholders in the Boston Options Exchange, and we are selling their interest in the Boston Options Exchange. The management team and the board have a right of first refusal to purchase those and have elected that auction. 25:05 As a result of electing that option and those shares will be purchased by the corporation at the Boston Options Exchange and then they'll be canceled. And in so doing, all the remaining shareholders increase -- will receive a corresponding or proportion increase in both their equity interest as well as their voting interest. But here is where the trick comes in or the nuance, Nik. 25:30 There is a part of the agreement that basically says no broker dealer can own more than twenty percent of the exchange. In this case, one of the participants is a broker dealer who would be exceeding the twenty percent. As a result, their proportionate share of voting rights, not equity interest, but voting rights is proportionately allocated to everyone else, which would effectively move our voting interest from the current forty six point two percent to a voting interest as a member of fifty one point four three percent, thereby enabling us to exercise voting control at the board which then puts us into a consolidation situation much likely prior to twenty sixteen. 26:18 Nik, I know there was a lot to digest. Does that get it kind of answering your question?
Nik Priebe: 26:24 No. That's good context. That's very helpful.
Operator: 26:31 Any further questions Nik? Thank you. Next question will be from Etienne Ricard at BMO Capital Markets. Please go ahead.
Etienne Ricard: 26:44 Thank, and good morning. Congrats on closing the AST Canada deal. Could you comment on initial integration work and also your expectations for scaling, both revenue and cost synergies by twenty twenty five?
John McKenzie: 27:03 Yes. Thank you. It's a great question. So this is -- as you can imagine, we're very excited to get this transaction completed and get the AST team integrated in. The integration work is actually well underway. So it really performs in number of area so that we can bring an integrated approach to their client base. So it is around integrating technology, utilizing systems that we actually acquire from AST across both trust as well. Building the new client contact capability to really upscale the level of service that clients are getting when they use the combined TSX Trust and AST. So, all that is well underway. 27:40 In terms of the upside and what we really bought this for was the ability to grow. We do see that the capabilities that we get, both the technology, the call center capability, our connectivity with the issuers will allow us to grow this combined business at a fast rate. Because now we can actually call on larger clients than we could have with just TSX Trust, because we have a broader set of capabilities to bring to bear. 28:06 One of the things I also remind you is actually, we've talked about this in the past around TSX Trust, but this is more meaningful with the AST business we've brought in. There is a portion of this business that is sensitive to interest rates, because as we hold cash on behalf of clients, there's a net interest spread that the organization can earn while we're holding cash for trust activity, corporate actions, things like that. And the acquisition and the numbers you're seeing in the acquisition is based on a virtually zero rate environment. So there's two factors in terms of the growth we see going forward. As I talked about, we do see the potential of acquiring more clients and continuing to grow the client base and achieving that revenue upside. 28:45 But also as we see a growth in a normalization in interest rates, there's substantial potential for the AST business we've acquired to see material -- meaningful revenue coming from that interest rate spread. And historically in the past that could have been highest at ten million dollars on top of the forty plus million dollars in terms of revenue acquired. So, hopefully that gives you a couple of context in terms of how we're thinking about some of the growth potential in it.
Etienne Ricard: 29:09 Okay. Great. On equity trading, regarding the new market on closed facility, could you share details as to initial market reception? And what percentage of your volumes are now trading at the close of market?
John McKenzie: 29:27 So, the initial market perception has been very good. And a reminder that we actually -- we did this all in the basis of consultation with the market itself. So we led a process that was integrated with clients, regulators and other market stakeholders to determine what was going to be the best model for bringing modernization to the functionality to Canada. And so that rollout has been exactly as expected by the Street. I think you'd see the Street feedback is that that rollout was also very smooth and very little hiccup up in terms of the settlement process. 30:01 Now, in terms of how much volumes going through that. Paul, I don't have that off hand. I don't know if you've got that available or if we can do that as a follow-up later on.
Paul Malcolmson: 30:08 We don’t have it right here, we'll do it as a follow-up. I’ll get back to you later.
Etienne Ricard: 30:14 Okay. Thank you. And on the expense front. This is maybe a more strategic question, but I mean, TMX has a set of track record for containing expense growth in the low single digits. Now looking ahead, we keep hearing about the tightness of the labor market, especially in technology, do you believe you can continue achieving low single digit operating expense growth?
John McKenzie: 30:45 Yes. That is such a good question and it's such a pressuring question given the challenges. So when you think about the cost pressures going forward, certainly it is around technology contracts, finance -- inflationary pressure is there. And certainly, as you’ve said, a very tight labor market, and so we're seeing more challenges around labor, particularly in some of the areas of our business where that labor in high demand technology development, cyber, very much also within our capital formation space, the professional services like the lawyers and the accountants that help bring companies to market. 31:19 That being said, our approach to expense discipline is unchanged. So we do target to continue to do that. We do challenge our team members to identify savings opportunities to redeploy in terms of growth. And we would still continue to target that type of expense growth in the near term that's more in line with inflation, but this -- certainly if you're gearing that up in terms of looking at twenty twenty two being more inflationary pressure than we've seen in previous years, I think that's a reasonable assumption.
Etienne Ricard: 31:52 Great. Thank you for your comments.
Operator: 31:56 Thank you. Next question will be from Geoff Kwan at RBC Capital Markets. Please go ahead.
Geoff Kwan: 32:02 Hi. Good morning.
John McKenzie: 32:04 Good morning, Geoff.
Geoff Kwan: 32:05 Just wanted to go back to the change in ownership on BOX. The customers that are leaving, like how much market -- or like how much of the trading volumes would they have been on BOX? And is there anything you're able to say as to why they decided to sell their stake?
David Arnold: 32:29 Hey, Jeff. It's David Arnold here. So their volume contribution is deminimis to zero. They were very small minority members. So for them, I'm speculating it was non-strategic for them and something that they just felt there was a stranded asset that they needed to account for and basically get rid themselves of some of that efforts. So, that's basically the bottom line. They did offer it to an existing member and that existing member needed to bring it to the Board and to management for us to exercise the right of first refusal. So I hope that gives you enough, but I would not expect this transaction if it's approved to impact the volumes on the Boston Options Exchange at all. 33:21 What it has been is very important to notice that they've been out of the options business for years, the folks that are selling, so really, really small. And the things that are driving our volume is, you can imagine, Geoff, is just the market activity in the U.S. on option volumes as opposed to these two particular members sitting down the interest.
Geoff Kwan: 33:43 Okay. Thanks. And then on the Montreal Exchange, you made the reference to the high volume traders and the impact, can you talk about like what percentage of the volumes they were in the quarter and where that might compared to a year ago?
David Arnold: 34:03 I don't have the percentage handy for me. I don't know, Paul, do you have that?
Paul Malcolmson: 34:11 No, we can certainly get back you on that though.
David Arnold: 34:13 Yes. So I mean, as you can expect, Geoff, I mean, it's all about the products and the trades and are they at the high end of the margin or the low end of the margin and the high volume or high frequency traders are obviously at the low end of the margin?
Geoff Kwan: 34:30 And then my last question was on the G&A expense, there's a reference kind of higher legal and bad debt expense, just anything -- any sort of color around the year over year variance?
David Arnold: 34:41 Yes. So if you look at SG&A, it's not complicated Geoff, but I got to just walk you through it just to make sure that you are fine. Basically, the first thing is looking at Q3 of last year, we need to adjust for the one point three million dollars in the commodity tax provision that we reduced. So think of last year's number is more like seventeen point two. And then if you look at this year's number, the twenty one forty, you back out AST and the related acquisition costs as well. So you kind of at an eighteen point four normalized number. 35:14 And then as you say the difference over there is some legal costs and some bad debt expenses. The bad debt experiences are just normal course with clients of ours that unfortunately delist and are insolvent, then obviously we write off the amounts. But the legal is just a normal course. There's no litigation there, it’s normal course corporate development activity as we look at various growth initiatives.
Geoff Kwan: 35:42 Great. Thank you.
Operator: 35:44 Thank you. Next question will be from Graham Ryding at TD Securities. Please go ahead.
Graham Ryding: 35:51 Hi. Good morning.
John McKenzie: 35:53 Good morning, Graham.
Graham Ryding: 35:54 Maybe to start with your balance sheet. For over a year now, I think you'd remain below that two times debt to EBITDA. And I think your target still is two times to three times. Is that just a reflection of you being disciplined around assessing acquisition opportunities? Or are you comfortable at this level of leveraging? Should we maybe think about this as sort of the new run rate and the new level that you -- that you operate on?
John McKenzie: 36:26 Yes. So, regardless of the kind of historical direction of range, I think I've always guided you guys kind of two times is kind of the -- is kind of target operating level. So we are below that, but we are absolutely comfortable. The balance sheet position gives us a very strong position to pursue those inorganic opportunities. We have been fairly active in the market in terms of things that we've been looking at, our discipline is good there. But I do believe that the balance sheet strength we've got both in terms of cash on hand and the ability to lever up to do a larger transaction puts us in a good place to compete for things. So not a concern at all, it just give us more flexibility.
Graham Ryding: 37:06 Okay, understood. Perhaps just the pipeline for IPOs and capital formation, both TSX and Venture. What’s your sort of visibility like? Is it reasonable to expect that we're going to see some normalization in twenty twenty two just given the strength that we saw this year.
John McKenzie: 37:27 That's actually hard to say, because the strength is continuing. So we had some abatement in the activity kind of through the summer, but that's normal and potentially [indiscernible] market fatigue in terms of the number of deals that we're getting financed, but the activity in the fall continue to be really strong and the pipeline of new deals remains full. 37:47 I always have to take the opportunity again to thank the staff here, because I don't think people recognize how much work it goes to bring in these deals over the line. And just to give you a bit more context, I mean, we said it in the commentary earlier on, there's thirty eight corporate IPOs have been done to date through three quarters, we did four more in the month of October. If I compare that to the nineteen years ago when we went public ourselves, there was four IPOs that entire year. 38:13 So, this is a very strong pace and the deals are getting well financed and well subscribed And so that pipeline remains robust. So, I can't predict what twenty twenty two will bear. But the pieces I will remind people of is that the overall issuer base in terms of our client base is now substantially larger than it was a year ago. In fact, if you look at the five year trend, it's grown every year in the last five years in terms of the number of issuers. That's a larger base of issuers, it's going to drive higher sustained fees, it's a bigger base of issuers that can do subsequent additional financing activity as well. So, even if you saw some pullback in the actual IPO market, you've got a bigger base of clients that are continuing to finance and paying sustaining fees at the same time.
Graham Ryding: 38:59 Yep. That's a fair point. In terms of your data subscribers, they been pretty strong in twenty twenty one. I think you are up six percent this quarter year over year or close to or my number might be off? 39:12 Traditionally, that's been an area that's been actually I thought fairly mature and stagnant in terms of growth. So is there any color you can provide in terms of, is it international subscribers? Are there new channels that you're penetrating? What's driving the growth in data subscribers?
John McKenzie: 39:28 It's yes and yes, not to be acuity. So there's more demand because the volume growth in the business, the retail interest for the number of clients coming on board, we've actually brought in some net new data clients as well. I don't have the names up hand, and I probably believe you've got those ones in terms of new distributors that are carrying our data, both domestically and abroad. And then certainly with our expansion in terms of the continued use in Europe and the expansion in Asian time zone, that drives particularly demand for MX subscriptions. And then some of those users will look to -- for equity subscriptions as well in terms of the data sets they are getting. So you are seeing a combination of demand from multiple locations as we expand the franchise.
Graham Ryding: 40:15 Okay That's it for me. Thank you.
Operator: 40:18 Thank you. Next question will be from Jaeme Gloyn at National Bank Financial. Please go ahead.
Jaeme Gloyn: 40:25 Yes, thanks. Good morning.
John McKenzie: 40:26 Good morning, Jaeme
Jaeme Gloyn: 40:27 I want to dig into the AST revenue first. So, I think one of the acquisition that was disclosed, the AST last twelve months revenues were around the forty six million dollars mark, now it's around the thirty nine million dollars mark. You talked about interest rates, does that explain the entire, call it, seven million dollar decline in last twelve months revenues or were there any other factors that would have been at play?
John McKenzie: 40:51 No, that's the major impact. The rest of the core revenues were as expected for us.
Jaeme Gloyn: 40:59 Okay. And as we're looking at interest rates potentially normalizing, what -- should we be looking at the three month yields for AST or is it some other part of the curve?
John McKenzie: 41:12 Yeah. We're going to have to get deeper into the business to give you better guidance on that. It's certainly more in terms of the short term rates that are driving it, because it generally short term holdings of cash. But as we get more closer into that, I expect this as an area where in the future we will actually be able to give you more direction and more sensitivities around. 41:30 What I would guide to you Jaeme is that, compared to the TSX Trust business and the size of the clients we have in TSX Trust, the AST client base are much higher cash clients than what we have had, so it is substantially bigger impact than what you would have seen with us with TSX Trust in the past.
Jaeme Gloyn: 41:51 Okay, great. On that front, on the Trayport side, good to see the subscriber growth continuing in Q3. Is there anything you can tell us about October and post Q3 around how subscribers are handling the European gas crises? Are there any impacts as a result of what's going on there? And are we still seeing good momentum in that business?
David Arnold: 42:19 So, hi, Jaeme, it's David. Yes, we are seeing good momentum, early signals through Q3 and now into October. For example, we added, I think, ten net new clients in Q3. So it continues to be robust, But yes, you're right, I mean the energy crisis in Europe is definitely seeing more volume going on exchange. And obviously that's less advantageous for us in Trayport. But we continue to see strong client momentum and continued engagement. So, we will weather the energy crisis storm. And as you know, market dislocation and other kind of factors are actually really good for our business?
Jaeme Gloyn: 43:03 Okay. Great. That sounds fairly positive. On the Asian hour front, early days, but our market structure group [indiscernible] some decent results so far. Is there anything you can call us about activity in the Asian hours for the MX?
John McKenzie: 43:24 Well, you're exactly right, it is very early. So we actually quite happy to see that early level of activity. And that's fairly limited penetration in terms of new clients coming on yet. So a lot of that is proprietary trading, dealer trading and we are still at the very beginning of actually getting the kind of the investable real money coming into it. So that's the potential for the upside. However, when we think about some of the different regions in there, one of the pieces I always point to for folks, as you think about the Australian market of which we are doing more marketing, they need to invest outside of Australia. So they are -- in terms of their pension assets, they are where Canada was twenty years ago where two thirds of their assets are domestic and they are looking to internationalize more of them. So the potential of that demand that comes out of the region is very positive. 44:11 So all indicators are that, this is going to be a meaningful expansion for us. And Jaeme, I mean, I'll remind you the targets that we've talked to people in the past that’s up and running between Europe and Asia, we see the [indiscernible] for fifteen percent to thirty percent of our flow coming out of those two time zone. So that continues to be the expectation.
Jaeme Gloyn: 44:31 Okay. That's great. And last one for me, just in terms of the -- I guess, announcement about Michelle Tran. It seems like a pretty positive development there. Is there anything you can say about the departure of Sarah [indiscernible] as it relates to that promotion?
John McKenzie: 44:54 No, Sarah actually chose to leave us to take on different types of opportunities, so not in the same sector that we're in today. But I do want to comment a little bit more on the Michelle's promotion, because we had actually some really strong candidates both internal and externally for the role. What set Michelle apart and what makes me excited about the future of that business is, coming to the table with a real plan for where she sees the opportunity for growth. 45:21 And as you remember, in our historical guidance around our businesses market data was more of a steady state business as opposed to one of our growth drivers. We are really seeing more potential to unlock more growth in this business, be it from subscribers, enhanced products, and enhanced pricing opportunities. And Michelle brings that experience to the table and a plan that's ready to go. So I'm very excited about having Michelle in the role. She is an expert in this space, she knows the client base and the street really well and will hit the ground running.
Jaeme Gloyn: 45:54 Great. That's it from me. Thank you.
Operator: 45:57 Thank you. [Operator Instructions] And your next question will be from Brian Bedell at Deutsche Bank. Please go ahead.
Brian Bedell: 46:10 Great. Thanks. Good morning folks. Some of my questions were asked and answered, but maybe just to follow-up on a couple of them. Back to Trayport. Just in terms of -- as we move into the winter months in Europe, if you can somehow parse what you think the traction will be from the organic efforts that you're making, the headway that you're making with bringing on more subscribers and rolling out [indiscernible] to more trading desks versus the environment that we could be in if there's a lot more energy volatility?
John McKenzie: 46:51 Well, again, I'm going to reiterate the comment that David was making. Energy volatility is actually strong for Trayport, because volatility -- particularly when it's volatility combined with high volumes, that type of dislocation just brings more traders more active engagement into the marketplace. And if you think about the problem, the core problem that Trayport solves is aggregating all those different venues into a single screen so that the traders can actually work across the marketplaces. So that becomes just more important when there's this type of market disruption. 47:24 And we've saw that about two years ago when we saw the oil shock on the other direction. So we saw oil trader and oil pricing bottoming out and the Trayport screen just became more important for clients. So in this case, where you've got price volatility and price spikes, it just adds to the demand for the product. So we think it's positive for us. We never wanted a dislocation like that, because there is going to be a lot of strain on some of the users in there. But in terms of the demand, we would expect that it would increase the demand for the products.
Brian Bedell: 47:57 And then how about rolling out [indiscernible] to more trading desks, because you've already been pretty successful with that, but just your thinking about that outlook over the next two quarters.
John McKenzie: 48:07 Yeah, I mean that's exactly that. I can't give forward guidance on that, but it's that demand for more trading desks to trade in these types of products. Is the flow through demand in terms of deploying [indiscernible] to more traders. And that could be net new clients, as David talked about, the ten new clients we've signed. But also shops that are already with Trayport expanding their usage of it and then when they renew with us, they renew at higher rates for more subscribers.
Brian Bedell: 48:31 Okay, great. And then maybe just on -- back to MX, just on the revenue capture. Sequentially, there was obviously an improvement as we move into the fourth quarter, obviously it depends on mix of products, but if you could maybe just give some insight in terms of how you think the extended hours may influence that, plus any incentives that you're offering? Obviously the mix of active traders is always a wildcard, but if we stay at sort of this level, maybe just some view on how we should think about that revenue capture into fourth quarter on?
David Arnold: 49:11 So, good question. You've summarized the variables really well, you understand the business. But early stage volumes as we published in our October report, which just came out the other day are continuing that upward momentum that we saw towards the backend of Q3. So volumes continue to be robust. It will move down to obviously mix, it just to depends on the volume, is it in the higher spread products or in the lowest spread products. But right now the momentum that we saw at the end of Q3 is continuing into Q4. So that is a very positive sign.
John McKenzie: 49:51 Yeah, I'm going to on David's comment, all indicators if you look into the commentary from either the folks that are following the financial markets, the Bank of Canada Governor. We are looking at a period of increased volatility in rates, not decreased. So anticipation of rate increases more volatility across the yield curve. All those are positive wins in terms of tailwinds to actually continue to build in the products like the tenure year, the BACs, the two year product that we recently launched, the thirty year that we're working on. So a lot of strong tailwinds in Q4 for the rates complex and those tend to be premium priced products.
Brian Bedell: 50:32 Great. That's great color. Thank you.
Operator: 50:35 Thank you. And this time we have no other questions. Please proceed with closing comments.
Paul Malcolmson: 50:42 Well, thank you everyone for listening in today. If you have any further questions, the contact information for media as well as for Investor Relations is in our press release. And we'd be happy to get back to you. Stay well everyone.
Operator: 50:55 Thank you. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.